Operator: Good morning. My name is Lindsey, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Park Electrochemical Corp. first quarter -- fiscal year 2015 earnings release conference call. [Operator Instructions] At this time, I will turn today's call over to Mr. Brian Shore, President and Chief Executive Officer. Mr. Shore, you may begin your conference. 
Brian Shore: Thank you, operator. Good morning, everybody. This is Brian. Welcome to our First Quarter Conference Call. I have with me, as usual, Matt Farabaugh, our CFO. We'll start with some introductory remarks, and then we'll go to Q&A. And I'll remind you, as always, the transcript of Matt's introductory remarks are posted on our website. Matt, why don't you go ahead with your financial commentary? 
P. Farabaugh: Okay. Thanks. Certain statements we may make during the course of this discussion which do not relate to historical financial information may be deemed to constitute forward-looking statements. Any forward-looking statements are subject to various factors that could cause actual results to differ materially from our expectations. 
 We have set forth in our most recent Annual Report on Form 10-K for the fiscal year ended March 2, 2014, various factors that could affect future results. Those factors are found in Item 1A and after Item 7 of that Form 10-K. Any forward-looking statements we may make are subject to those factors. I'd like to briefly review some of the items in our first quarter ended June 1, 2014, P&L, which are not specifically addressed in the earnings release. 
 During the fiscal year 2015 first quarter, North American sales were 44% of total sales, European sales were 6% of total sales, and Asian sales were 50% of total sales; compared to 48%, 9% and 43%, respectively, for the first quarter of the 2014 fiscal year and 48%, 7% and 45%, respectively, for the 2014 fiscal year fourth quarter. Sales of Park's high-performance non-FR-4 printed circuit materials were 93% of laminate and prepreg material sales in the first quarter of fiscal year 2015, 86% in the first quarter of the 2014 fiscal year and 90% in the 2014 fiscal year fourth quarter. 
 Sales of Park's aerospace materials and parts were $9.0 million in the first quarter of the 2015 fiscal year compared to $6.7 million in the first quarter of the 2014 fiscal year and compared to $8.0 million in the 2014 fiscal year fourth quarter. Investment income net of interest expense for the first quarter of the 2015 fiscal year was negative $206,000 compared to negative $103,000 in the first quarter of the 2014 fiscal year and negative $45,000 in the 2014 fiscal year fourth quarter. Depreciation and amortization expense for the first quarter of the 2015 fiscal year was $898,000 compared to $968,000 in the 2014 fiscal year first quarter and $782,000 in the 2014 fiscal year fourth quarter. Capital expenditures for the first quarter of the 2015 fiscal year were $53,000 compared to $464,000 in the 2014 fiscal year first quarter and $344,000 in the 2014 fiscal year fourth quarter. 
 The effective tax rate before special items was 17.4% in the first quarter of the 2015 fiscal year compared to 19.0% in the 2014 fiscal year first quarter and compared to 11.3% in the 2014 fiscal year fourth quarter. The U.S. GAAP income tax provision in the fourth quarter of the 2014 fiscal year included a noncash charge of $63,958,000 for the accrual of U.S. income tax on the undistributed earnings of the company's subsidiary in Singapore. 
 During the first quarter of the 2015 fiscal year, the company had no customers that were more than 10% of total sales. The top 5 customers were Sanmina, Shennan Circuits, TTM, Viasystems and WUS, in alphabetical order. The top 5 customers totaled approximately 38% of total sales. Our top 10 customers totaled approximately 59% of total sales. And the top 20 customers totaled approximately 73% of total sales. 
Brian Shore: Okay. Thanks, Matt. We really like the first -- it's Brian. We really like the first quarter because the comparisons are much simpler and we can get right to it. Okay. So the -- I don't think there should be too many surprises with the top line because when we had our fourth quarter conference call, remember, it was quite late into the first quarter. And at that point we reported, we already had 10 weeks in the books, and we said, if we took a day, annualized the revenues for the first 10 weeks, I'm talking about for the first quarter, I think we even said it would be $48.8 million. But it sure was close to what we ended up with. So that shouldn't be a surprise to anybody. I think I also mentioned that the bottom line would be better as a result of certain factors. Maybe I'll just get to that in a second. But just going through my notes here, I should touch on some of our new products. So -20 and Mercurywave continue to develop some momentum. Meteorwave, not so much. We'd still like to see Meteorwave do better, but that hasn't really done very much so far. These are electronics products we're talking about. 
 So -- and Mercurywave is an RF product, as you know. -20 is a product we developed as our next generation of our -13 legacy product line, as you remember. So what's going on here continues to be an Asian infrastructure story, as we discussed last time, driven by the build-out of 4G LTE, mostly in Asia, again. And the difference is that not only is it an Asian story in terms of the end market but also in terms of the OEMs, not just where the equipment is being installed, but the OEMs are different OEMs than we're accustomed to. The U.S. OEMs are not really a story behind our improvement in -- our improved revenues 
 So this build-out of the 4G LTE infrastructure affects the infrastructure product line, of course, which goes into these digital products, which would go into high-end servers or routers or storage, but also goes into RF applications, and that plays into our Mercurywave and also our legacy PTFE products, which are doing fairly well, also. 
 U.S. electronics, not participating in the revenue improvement. U.S. electronics is, for us, still in a doldrum, so this is really an Asian story almost completely, and it continues to be. 
 Let me just skip over a couple of things here. I probably could have prepared better because my notes are not in sequence. Okay. I remember we talked about this in the -- when we did our fourth quarter commentary, we would need to go back to the 2012 fiscal year to find a quarter with the kind of top line that we had in this first quarter, but we'd have to go back further than that to find a bottom line similar to the bottom line in the first quarter, our current first quarter, especially on an operating profit pretax basis. Why is that? There's no magic or mystery. We commented on this last time. They're very obvious reasons. If you go back to history, like 2012, let's say, for instance, we were still carrying the extra costs of Waterbury and Washington State, our factories there; and also Zhuhai, our factory in China. The Kansas factory was struggling with the startup costs and startup problems, which I said, not surprised -- we weren't surprised by them, but nevertheless, they were a serious factor to our P&L. Now the Kansas operation is a positive, not a negative. It's not positive enough, but it certainly is making money, when it used to -- it was losing money, so you take those factors. And the other thing is something Matt mentioned is that there's 93% high-performance. We haven't checked. We'd have to go back, but if we went back a few years ago, it certainly wouldn't be 93%. It would be less than that, and that's going to affect our bottom line. The other thing I've commented on recently is that we're kind of a black and white approach -- we're using a black and white approach. We talked about high-performance and non-high-performance. Our non-high-performance is moving to probably 0 someday. But all high-performance is not created equal. And I think that what's going on here is that, within high-performance, there is a higher-end component of it for parts that also affects our margins. So the high-performance percentage affects our margins, but what's in that high-performance, the high-performance content, affects our margins. So that's why you have to go back even further than 2012 to find a bottom line similar to the bottom line we've just reported in the first quarter. It's not -- we're just reporting what we know. We're not telling you we feel happy or wonderful or excited or proud at all. That's not the point. We're just trying to help you understand the numbers, how they add up. 
 So let me see. I know you always want to know about the coming quarter. Now for the second quarter, the quarter which ends the end of August, we have 4 weeks in the books. So that's a lot different than 10, right? It's a big difference. But we'll tell you that the trend continues. In the first 4 weeks of the second quarter, the top line trend continues as the trend that we saw in the first quarter. 
 So that continues, and I don't know, if somebody asked, they might, how long is it going to continue, we don't know for sure. We're very reluctant to report those kind of things because of our history in electronics, in particular, over the years, where it's very unpredictable. That doesn't mean we don't ask because we ask about 10 times a day the different OEMs and customers and try to do as much as we can to get the pulse of the industry.
 We're hearing positive things, particularly about the short term. But I have to caution you that we've been through this before in electronics where everybody was positive and all of a sudden, things got worse. And we also had experiences where everybody was pretty negative and all of a sudden, things got better, and not really predicted very well. I've commented on this before, but it's really amazing how in the electronics industry, you've got a lot and lot of very, very smart people who collectively don't seem very intelligent when it comes to predicting what's going to happen. 
 Okay. I have one more piece of news. It's kind of big news. For the last -- I don't know, you probably know better than I do because I've been frustrating the people participating and listening to these calls, both the analysts and institutions, we keep referring to that big jet engine company. Well, we finally got permission to mention their name, and their name is GE Aviation. So that's the company we've been talking about for, I don't know, 1 year, 1.5 years. We've been given permission to use their name. And I can tell a little bit about the programs we're working on with this company, not everything. But at this point, we are already in production on the 747-8 program. So -- and this relates to thrust reverser components, which are quite large components, as well as something called interfix structure or core cowl. These are large, large components of the engines on the 747-8 program, and that switchover has already taken place, so we're in production on the 747. 
 The next big program to kick in is something called the Airbus A320neo. That's supposed to kick in next year. That would be also thrust reverser components. These are large components that are made from composite materials, large components of these engines. And you can look it up yourselves and more about the A320neo and the projections that people make, including Airbus, about how many airplanes will be sold. That's a 2-engine airplane. So whatever you conclude, just multiply it by 2, and you'll know how many engines we'll be supplying into. There are 3 other programs. One is a legacy program that has not switched over yet, and there are 2 other development programs called NPI, new product introduction programs, where GE Aviation has a program, but they're not -- they haven't started yet. 
 We have to be kind of -- we have to be careful now that we've mentioned their name because, obviously, we don't want to do GE's disclosure. That's up to them to disclose what they think is appropriate. We just want to give our investors some understanding of what we're doing here. I mentioned -- we've mentioned before that we're working on a lot of other opportunities with GE Aviation, now I can mention their name. We're in the middle of a global RFQ. I think I mentioned that last time. These things take quite a while to process, but the opportunities are quite significant and the time frame is longer. 
 We continue to work on development projects. I mentioned that before. Obviously, we wouldn't talk about what those projects are, but they're exciting projects for us because they're things like -- I think I mentioned this last time, things we'd probably want to do anyway, but without the help of an OEM partner, it would be pretty difficult for us to get there. 
 So yes, the -- I don't know what to say. The revenues that we're looking out for the out years, we're working on with the -- these RFQ are quite significant, out years through 2021, 2018 or 2021, depending on how you look at it. And I think that we mentioned before, and we'll say it again, that part of our arrangement with this company would be, first, to build another factory in order to support this business. That would be part of the -- any agreement we reach with respect to the RFQ that's been given to us. 
 And I think that covers it. Operator, I think, we're ready for questions at this time. 
Operator: [Operator Instructions] Your first question comes from the line of Sean Hannan with Needham & Company. 
Sean Hannan: So Brian, I wanted to see if I could follow up on the demand comment that you made so far with 4 weeks on the quarter. With the trend continuing, I wanted to understand, does this mean that the trend is continuing in terms of a quarter-to-quarter trajectory? Or is this that the level of business that you had seen, particularly as you kind of got through that May quarter and ended the quarter, that, that is sustained? How do we think about this? Is this kind of a sustained level, or is this incremental? 
Brian Shore: All right. Well, first, I've got to comment again, I get a little bit uncomfortable with a lot of granular refinement based upon 4 weeks, rather. But the first quarter was just 1 quarter, although the April was a little bit stronger than March, and May was a little stronger than April. So there's some upper trend, a little upper trend during the first quarter. And that -- so let's say this. We're at the level of the high -- in the 4 weeks, we're at that level, at the highest point in the first quarter. And I don't want to do -- give you more refinement, because I think it's just unfair to give so much guidance based on 4 weeks of revenue. 
Sean Hannan: Okay. That's helpful. Now in terms of the gross margins, and thanks for the commentary you provided a little bit earlier that there is certainly higher-end mix in and amongst the higher-performance, high-temperature products that you have in the electronics side, certainly appreciate that there. How much variance do you see from either week-to-week, month-to-month, quarter-to-quarter in that mix in and of itself? Is that mix also being sustained? And any viewpoints around why that should or should not abate? 
Brian Shore: The mix trend is undeniable if you look at it long term. Whether it goes up or down and for 1 or 2 weeks or 1 month or so, I mean, to me, I don't know how to answer that question because there's so many factors. But the mix trend is undeniable over the last -- you pick whatever years you want, 1 year or 10 years, both in terms of moving from non-high-performance to high-performance, but also in terms of moving to higher-end product within the high-performance category, let's call it. We've talked about, let's say, signal integrity. We have something called our SI or signal integrity product line, and that would be at the higher end of the high-performance product line. That's been quite strong, but this is based upon programs. So -- and based upon, also, technology trends in the industry. And, I mean, I guess trends could always reverse, right? But those trends are undeniable, at least if you look at the -- in the past. There's not a lot of mystery about that. So I guess, trends go exchange and reverse after 10 years or so. But the trend, when you look long term, 10 years, 15 years, or 1 year, is undeniable. For Park, I saw your comment this morning that you don't understand exactly what's going on because the PCB industry doesn't seem to be doing that well. And I don't know about that, but I think I mentioned that this is really an Asia story with Asian OEMs and Asian circuit board manufacturers, in many cases. 
Sean Hannan: Sure, Brian, and I'm glad that you read the comments there this morning. I don't think the context was quite laid out that way, but I think that the demand here is great, what we're seeing in your business. Now in terms of the customers up in the quarter -- or I guess, looking to see if we can get a little bit more granularity or a little bit of color on what customers were up in the quarter in May, it seems that the top customers may not have kept pace with that 28% improvement you had in aggregate from the prior quarter. You had made a little bit of comments earlier that the business that you're going -- that's going into those more geared toward Asian-based OEMs really seems to be driving the story. So I wanted to see if I can get a better sense of what all is coming together here among your customer base and how some of those are ebbing and flowing. 
Brian Shore: All the customers in the top 5, I'm looking at it now, have Asian operations. Some are Asian-based, 2 of them. And then 3 are U.S.-based but have Asian operations. So there might be a participation in the sales growth among more than these top 5, though, other Asian companies that might be participating in the improved revenues. And I wouldn't agree that each one of these 5 have seen their share of our business reduced, but maybe some have. I think that one thing you notice, probably, is that there are no 10% customers. So you could reach whatever conclusions you like about that, but I think, in the past, most of them were not 10% customers anyway. Most of the top 5, rather. 
Sean Hannan: Sure. Okay. Last question here, and I'll jump back in the queue. So the aerospace business, up a little bit -- or up in May, a little bit lighter than I thought based on the ramping programs you have with GE there. Might have been a slight overaggressive assumption on my end in terms of the pace. Can you provide a little bit more color about what to expect incrementally in this side of the business in August, the contributions coming from that? I think, we previously were thinking about, as that business contributes to aerospace overall, the aerospace business should be running at roughly an $11 million run rate per quarter. Didn't know if there were any changes to this or perhaps even if there were new purchase orders that may add to it. 
Brian Shore: Well, I'm not sure what we're going to see in the second quarter, third quarter, fourth quarter with aerospace. I think that the next few quarters, it will be moving up a little bit. We already have, in the first quarter, some of the GE Aviation revenues, but certainly not at the level that we expect. I think that the -- we previously indicated that it would be something like 11.5 -- we thought it would be $11.5 million of POs. I mean, that's what we said just a couple of quarters ago for this year. And I think that some of that may move into the following year. I think there are some timing issues, but they're really hard to predict and we don't have control over them, and they seem to move around pretty fluidly. So I know there's always this very short-term focus. I can talk -- we can talk with more confidence about the long term because we know what those numbers are, but whether they materialize this quarter or next quarter or the following quarter, the quarter after that, a little bit more difficult to tell you. So other than that, I don't think we even know anything else that would be useful to you in answering that question. Let me go back and say it again: aerospace for the second quarter, third quarter, fourth quarter, I think we're going to continue to see some movement in the right direction. But when it spikes up to quite larger numbers, the kind of numbers that we've been talking about, I don't know. But the current -- our current understanding would be that, for the next fall calendar year, for the second year, the 2015 calendar year, that it wouldn't be a lot dissimilar from 2014, some improvement. But then, when we get into the years after that, that's when some big numbers start to take hold, talking about big revenue numbers starting to take hold. That's based upon existing programs we know about. That's not based upon the development work we're doing with GE. And, I mean, I've got to always caution that companies like Boeing and Airbus can always decide to stop making airplanes or make less airplanes, of course, or change their plans or cancel programs, and we are subject to those uncertainties and vagaries. I think that we probably have said everything that would be helpful to say. Anything else, we would just kind of be making it up as we're going along, and I don't think that serves anybody's interest. 
Operator: [Operator Instructions] And there are no questions at this time. 
Brian Shore: Okay. All right. Well, this is Brian again. That's a little surprising that Sean was the only one who had any questions. So maybe everybody's already off of their summer holiday. But thank you very much for listening. And so Matt and I will be here today. If you have any follow-up questions, make sure you let us know. And we'll look forward to talking to you soon. And if we don't speak to you until the second quarter call, have a very good summer. Okay. Thank you, and goodbye. 
Operator: This concludes today's conference call. You may now disconnect.